Operator:  Welcome to the BB&T Corporation first quarter earnings 2010 conference call on Thursday April 22, 2010. At this time all participants are in a listen only mode. A brief question and answer session will follow the formal presentation. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Tamara Gjesdal, Senior Vice President of Investor Relations for BB&T Corporation.
Tamara Gjesdal: This call is being broadcast on the Internet from our website at www.BBT.com/investor. Whether you are joining us this morning by webcast or by dialing in directly, we are very pleased to have you with us. We have with us today Kelly King, our Chairman and Chief Executive Officer and Daryl Bible, our Chief Financial Officer who will review the financial results for the first quarter 2010 as well as provide a look ahead. After Kelly and Daryl have made their remarks, we will pause to have the operator come back on the line and explain how those who have dialed in to the call may participate in the question and answer session. Before we begin, let me make a few preliminary comments. BB&T does not make predictions or forecasts, however, there may be statements made during the course of this call that express managements’ intentions, beliefs or expectations. BB&T’s actual results may differ materially from those contemplated by these forward-looking statements. Additional information concerning factors that could cause actual result to be materially different is contained in the company’s SEC filings. Now, it is my pleasure to introduce our Chairman and Chief Executive Officer Kelly King.
Kelly S. King : As we typically do, I’m going to cover some quarterly highlights, talk more specifically about the performance of the first quarter, talk about a small number of unusual items, drill down in to the drivers of performance, give you an update on the Colonial integration and then Daryl will give you some more color on margin and balance sheet activity, purchase accounting issues, expenses and efficiency, taxes and capital and then of course we’ll have time for questions. Overall, we think it was a really solid quarter. We made $0.27 versus a consensus of $0.23. It was flat to the fourth quarter but that’s really a positive because as you know, we typically have a down draft in the first quarter for seasonal reasons so that was good. Margins up to 3.88%, which is a nice increase and looks to have upward pressure going forward, Daryl will give you some detail on that. Non-performing assets grew slower as we expected at 5.6% and overall we have some much better consumer trends which I’ll give you some detail on. Net interest income was up 14.7% which was good. Deposits slowed but that was really by design because frankly we have not had as much loan growth and so we’ve been able to slow deposit growth some and control our costs. Overall, Colonial is exceeding our expectations and I’ll give you a little more color on that. If you look at the earnings, we did make $188 million, $0.27 a share. The ROA was .48 and return on common equity was 4.59%. Obviously, those are down from normalized levels but I will point out that they are meaningfully positive. If you look at our earnings power, we try to focus in on that each quarter. It’s a little complicated to look at now to try and get at the real purposes of that which is the kind of underlying earnings power of the organization. If you kind of look at earnings power excluding bond gains, you remember Q1 last year we had large bond gains, excluding that our purchase accounting and OREO expenses is kind of flattish primarily because of a substantial reduction in mortgage which of course, we all expected. I wanted to kind of see how it looked if you take out the mortgage affect so if you also take out the mortgage affect, it’s interesting from Q1 to Q1 our earnings power went up from $788 to $888 which is a 12.7% increase which I think is more reflective of the kind of underlying earnings of the company which is reflective of good margin and good expense control and other factors. We did have a small number of unusual items. I would mention to you we did settle a contingent liability during the quarter so we had a recovery of legal reserve of $11 million. We did have an adjustment of the estimate of Colonial occupancy expenses which reduced our run rate of expenses of $16 million and then on the other side we did have $17 million of pre-tax merger charges. So, the way we think about that is if you take away the $11 million on the potential liabilities, the $16 million on the occupancy expense, although I think that’s debatable, and then you deduct the $17 million or add back the $17 million on merger charges you can kind of come to something like a $10 million take away which would be about $0.01 a share. I am sure you will all do your own analysis but that’s kind of the way we look at it. Looking at some of the drivers of performance, let’s look at credit quality. As we mentioned on non-performers we thought would continue to increase so excluding covered assets they increased from $4.2 billion to $4.4 billion, that’s a 5.6% increase which is a decline. As a percentage of assets that’s 2.86% from 2.68%. Charge offs excluding covered loans were 1.99%, just a basis point higher than the fourth quarter’s 1.98%. So we felt good about that. In looking at the provision, you’ll notice that our provision is down because of better credit quality. Provision was $575 but we did cover charge offs of $475 and added another $100 million to the allowance which is about $0.09 per share. If you look at the allowance to non-accrual loans which is certainly a key measure, ours is .93% which is really very strong at this point in the cycle. If you look at allowance to loans excluding loans held for sale and covered loans, it’s up to 284, a meaningful increase up from 272 which was available in terms of relatively strong earnings and certainly reflects the quality of the portfolio and our conservative nature in terms of trying to keep that allowance very strong. We do see meaningful contingent signs of improvement, especially in the consumer and specialized lending portfolios. There are some ups and downs in various categories so it’s not exactly totally up in every category so little ups and downs. In fact, interestingly the growth in non-performing loans in the builder developer, the ADC book actually slowed during the quarter. So we’re clearly seeing some positives and a few negatives. Very importantly, we had the fourth consecutive quarterly growth decrease in non-performers. So if you look at the last five quarters that has gone down steadily from 35, to 21, to 18, to 7 to this quarter’s 5.6. We think that’s very, very meaningful. We’ve said before that we thought because of the nature of how we do our business that we would be kind of later in the cycle in terms of our issues maturing, we’d be a little later coming out of the cycle. I would remind you the reason for that is because of the nature of our underwriting and decline selection we think is superior which means we pick better clients. We underwrite them tougher which means they’re stronger going in to the cycle. That simply means that they hang on and we work harder with them. There may be some portfolios and so it takes a little longer to kind of work through the cycle with them. That having been said, I still don’t think we’ll be a lager much more than a quarter or two but you may see us lag just a little bit. As in the past, the ADC was the most stressed but we continue to work that very aggressively. Balances are down another $428 million this year end. ADC charge offs were up from 7.4 to 7.82 and non-accruals were up from 13.6 to 16.4 so it continues to deteriorate but we continue to work it very, very aggressively and have moved it down over $2 billion end of last year so it’s becoming relatively less important day-by-day. In terms of other CRE, we did have other CRE non-performing assets and charge offs up as we expected but, very manageable, no dramatic deterioration here. I know there’s been a lot of conversation about big time deterioration. We’re clearly not seeing that; incremental and very, very manageable. Non-accruals for example increased from 2.7 to 3.2 so no big number. Gross charge offs from 1.21 to 1.74. I’ll remind you that we think the reason for that is this is a very granular portfolio $557,000 average note size. We have a firm policy limit of $25 million on projects and so as we’ve explained before we just don’t have the big hotels, big box centers and so the nature of our portfolio is smaller strip centers with a good anchor, drug and some locals, food. We have the three of four story office buildings with lawyers and doctors in it so it’s just a different kind of portfolio. I would also remind you with regard to that portfolio, we underwrite based on cash flow coverages with 1.2 to 1.3 coverage. We do not need the cap approach as most people do. Frankly, our approach allows for a much lower loan-to-value than a cap approach does which we think is very conservative and so that whole area is performing well. Interestingly, we did actually have other CRE growth of 2.2% during the quarter. We’re beginning to see some of the positive effects of reintermediation where we are seeing some really good permanent income producing properties with really good coverages, strong debt-to-value relationships so that’s a potential positive for us as we go forward. The C&I portfolio performed well. Non-performing loans in this portfolio are 1.83 compared to 1.91 last quarter and 2.05 in the third quarter so a nice decline there. Gross charge offs in the quarter were .9 compared to 1.25 in fourth so a nice decline there. These are really good trends in our largest portfolio so we feel really good about that. While I’ll talk in a minute about our aggregate to growth being slightly down, I was pleased that our C&I growth on average was up about 4.8% fourth to first, so we are executing on our strategy of ratcheting down some of our real estate exposure and ratcheting up our C&I exposure. In our consumer portfolios, I would call it stable to improving in credit quality. Home equity non-performing assets and charge offs were up a little in linked quarter but early stage delinquencies showed a marked improvement. The loss of run rate is leveling out and in fact, our expectation for losses are coming down. Retail credit card delinquencies and charge offs declined meaningfully and our card portfolios are showing solid growth so they’re small but they’re still doing well. In our sales finance, our auto portfolio, we had record production in March. All categories had better delinquency. Losses are down due to some tougher underwriting standards we put in to affect about 18 months ago and frankly the auction values of used vehicles is up meaningfully from a year ago which of course helps improve your ultimate collection amount. In terms of mortgage, we obviously had slower production as expected. We had $4.8 billion, down about 10% from the fourth quarter. You could have some seasonality in that but obviously mortgages is down from a year ago pretty substantially. 67% of that was refinance. The growth in non-accruals slowed and were 5.2% versus 4.9% so while up absolutely, the growth rate declined. Charge offs were flattish about 2% so that’s performing well. Early stage delinquencies improved. Interestingly the 30 to 89 day, we’re still on mortgage now, is the lowest since June of ’08 and total delinquencies is the lowest since June ’09. So pretty encouraging mortgage numbers. In specialized lending, it’s doing very well. Delinquencies improved from 5.37 to 3.75 linked quarter. Non-performing improved from 1.91 in fourth quarter ’09 to 1.53. Charge offs improved from 3.80 to 3.67. So, some nice improvements in the consumer area and in specialized lending which we consider to be part of our whole diversification strategy. Now, let me talk to you about restructured loans. We told you last quarter we would have a significant increase in restructured loans but we were working through the recent regulatory guidance and we weren’t sure of the magnitude of the increase. In fact, we determined this quarter that we should revise our restructured loans for prior periods. The amount of performing restructured loans at March 31st increased to $1.7 billion because our application of the updated regulatory guidance, I would remind you is more of an art than science. While we are proactive in restructuring loans to assist clients, we do not do significant or liberal modifications and for this reason we did not historically view these restructurings as TDRs. Obviously, the updated guidance and the further discussions with our regulators resulted in a more conservative view of that which is what you’re seeing. It is important to note we have not changed our approach to loan modifications. We have not done mass modifications. By that I mean we reunderwrite each borrower and ensure they have the capacity and willingness to pay rather than offering a modification package to an entire group. We still do not do big rate cuts. You can see that in the numbers and we don’t do big foregivenesses of principle and interest. I’ll point out that at no time do non-performing loans migrate to performing status simply as a result of restructuring. This is just not something that concerns us frankly. In fact, working with our clients, particularly in challenging times remains an important part of our mission. It does not affect accruing decisions and all of the expectations for redefault are in our non-performing guidance. So to give you a little color in a typical BB&T mortgage modification we reduce the interest rate to the then current conforming market rate plus a premium. But, because these clients would not normally be eligible to refinance even at a premium rate, the loan qualifies as a restructured loan under this updated guidance. We underwrite each mortgage loan to a 31% debt-to-income ratio and confirm income. The average rate on our modified mortgage loan is 5.36%, not much below the rate earned during the quarter on our total mortgage portfolio of 5.51%. So you can see we just didn’t do the big rate reductions, we just didn’t raise it enough. Also, only about 10% of our mortgage modifications are past due more than 60 days which we believe is about half the industry rate. Also, last quarter we discussed our commercial restructurings. The majority of commercial loan TDRs are because we extended a commercial loan almost always less than a year without a sufficient corresponding rate increase or we defer the payment of principle. I’ve told you before, when we’re working with our clients in these kinds of conditions we typically do not raise the rate. Now, you can argue we should but we think it’s more consistent with our mission of working with our clients in difficult periods. We don’t cut the rates typically and we might have a small increase, we just don’t go in and do big rate increases which is driving part of this TDR issue. So the average rate on our modified commercial loans is 4.09% compared to the first quarter return on our commercial total portfolio of 4.25% so again, not a significant modification in rates. Given the updated guidance, we may have continued growth in TDRs. It’s been a successful strategy, keeping people in their homes, paying their loans, assisting our commercial clients through economic downturns, we consider to be a part of our mission. I’m sure there may be some questions on that which we’ll answer when we get to the Q&A but it’s just not a major concern to us. With regard to OREO, excluding covered assets, OREO increased 4% in the first to $1.6 billion, a slower increase than in recent quarters and it’s a good sign. The majority of the increase was in South Carolina and Georgia around the coast. To give you an update, the portfolio consists of land at about 51%, residential one to four at 32% so really no change there. We did have relatively a strong sales quarter, $140 million. That was 12% below the fourth quarter but remember we told you the first quarter we thought was going to be really soft. I was very pleased with $140 million. We do expect an increase in sales in the second quarter and to that point as of March 31st we already had $102 million under contract. So we really are optimistic with the signs that we’re seeing in terms of pick up in momentum. Our average mark on problem loans from unpaid principle balance to OREO was 31% in the quarter. Write downs of OREO while in the portfolio was 10% and we’ve taken about a 4% loss on the sales. So when you get through all that math, from unpaid principle balance to OREO sales is about 45%. Write downs and losses on the sales on this portfolio did increase to $134 million in the first quarter but we do not expect this level of increase going forward. We had some portfolio accounts that we wanted to make a meaningful change on frankly to enhance the negotiated sales activity and so we did that. We do expect lower OREO costs going forward. Meaningfully, we did have a 13.4% decrease in inflows in to OREO compared to the fourth quarter. So with regard to guidance looking forward, I would just say the economy is still I’d call it somewhat uncertain kind of trying to find its legs. Clearly, if you look at all the econometric data it’s positive. No doubt, we’re technically out of the recession we’re in a recovery. We find clients to be still unsure about expanding their business. Frankly, when we talk to them, and I talk to a lot of them personally, there’s just a lot of concern about what’s coming out of Washington. Hopefully, some of that will abate. I will say on a positive note in talking to people there’s a pretty material pent up demand for technology spending and planned capacity spending. People are just waiting to they get a little more certainty in terms of the economic outlook. Hopefully, that will be forthcoming. I’m cautiously optimistic that we’ve not only turned the corner but we may see a meaningful turn as we go forward. We certainly are more confident with regard to our credit outlook particularly in consumer and specialized lending. We try to be conservative on these calls but we generally see underlying trends that are stable to improving. I would remind you we will continue to see some manageable deterioration on our commercial portfolio. There will be some ups and some downs. So while nothing dramatic I think you will just see some [inaudible] which is to be expected as you near the end of the cycle. We do see a reducing rate of increase in non-performers as we go forward. We still affirm that our charge offs throughout ’10 will be about flat to ’09 in the 180 range and that is excluding covered assets and so to be clear about that so kind of consistent with ’09. A little higher in first quarter so obviously that suggests a declining rate as we go forward through the rest of the year which we feel good about. We’ve said in the past kind of the order of things would be as you approach the end of the cycle, slower NPA growth, slower charge offs and slower OREO growth. So what do we see this quarter? Slower NPA growth, slower OREO growth but flattish type charge offs so two out of the three and a lot of us have some slower allowance build and so we still think as we’ve said before that this thing will peak in the kind of third quaterish maybe early fourth quarter but certainly have meaningful change in direction by the end of the year. With regard to the margin, it was up to 388, up eight basis points. Daryl is going to give you some real color on that in just a moment. If you look at core revenues and non-interest income, in terms of net interest income annualized fourth to first without purchases was up a little bit which is good .3. First to first was up .9, that’s not a lot I know but in a really relatively sluggish economy that is just coming out of a deep recession, frankly I feel pretty good about that. Non-interest income is just challenging now because of most of what is happening in mortgage. So if you look at fourth to first it was down 32% without purchases. That’s two factors, that’s the mortgage impact and that’s your seasonal impact. So if you look at first to first, it’s only down 5.4% and that’s your mortgage impact. So again if you slew the seasonal fact to the mortgage impact than you have a reasonable positive scenario. If you look at net revenue growth annualized fourth to first the amount is 13 but if you’re without mortgage banking it’s -3.8. But again you’ve got the seasonal impact so the more meaningful number is look at first to first and if you do that without mortgage banking it’s up 4.2%. Our fee income ratio is down, that’s due to the mortgage effect but still up long term. On non-interest income first to first, our non interest income decreased 18% but that was led by $153 million on a decrease in securities and a $99 million decrease in mortgage banking. Insurance was about flat on a common quarter basis. This is actually very good because we’re still in a soft market and insurance premiums overall are down significantly so we still feel like we’re moving market share there. We had 5.1% growth in service charges. Most of that was due to Colonial but it was real growth. 24% growth in check card fees, 22% growth in other non-deposit fees. A lot of that was due to letter of credit fees which performs well. 18.8% growth in trust income which is very, very good. We put a lot of effort the last couple of years on our wealth management and trust business and that’s beginning to come home for us. If you kind of look forward, the first quarter seasonally is typically low so we would expect to see some improvement particularly in insurance. It’s a little difficult to see what’s going to happen in mortgage and service charges. Specifically on service charges this is a big issue right now for all of us with what’s happening with regulatory and in the marketplace. So just to update you, we said before that we would implement April 1, which we did, what is called the 45 program which means we’re limiting service charges to four NSF charges to four per day and we don’t apply a service charge to a client that overdraws less than $5. We estimate these changes will cost about $35 to $40 million annualized. Then, we have the new opt in rules which become effective July 1. It’s hard to know what that’s going to do. We, and I am sure everybody else, is trying to figure out what’s happening. Obviously we really think most of our clients when it all settles down is going to opt in because they’re very accustomed to their service centers giving service. But, it’s hard to see. We had said last time we thought this whole range could be $70 to $140 million. We feel a little better now so even including the opt in I would say we’d be down at the lower end of that range maybe in the $70 to $80 million annualized impact on the combination of those two which is not as bad as I at one time thought it could be. If you look at loan growth, that’s kind of the big challenge as we look forward. So we did have positive growth in sales finance, revolving credit and mortgages excluding held for sale so that was positive. Commercial was down a little bit minus just .3. That was really – I’m talking fourth to first, that was without purchases. That was really a function of our ADC contraction by design. Our direct retail is down 6%. To give you a little color on that, that’s mostly our lot loan portfolio running down by design and our home equity lines performing better. Not robust growth but better so that decline is mostly because of lot loans. If you look at total loans held for investment excluding covered assets, we’re down fourth to first -1.2 so slightly but that is very good compared to the industry numbers that we’ve affirmed that were down 6.6. So while we’re not happy about -1.2 we feel good relatively and feel that we are continuing to move market share. That’s going to be our challenge as we go forward as we think it will be for the industry. I’ll talk a little bit more about our strategies and just a little bit about how we think we can continue to make that look good relative to the marketplace. Deposits have really been overall very, very strong. We’ve actually managed deposit growth down somewhat particularly in the CD category because of corresponding slower loan growth, we simply didn’t need the liquidity. So if you look at non-interest bearing deposit growth first to first without purchases was up a pretty strong 13.3. If you look at the end it was linked down six but that’s a seasonal effect. Interest [inaudible] without purchases is up 48% even on a linked basis 41% so strong numbers. Where you see the change is when you take in to account the CD effect. If you look at client deposits without purchases first to first we’re up 4.8 and seasonal or annualized late we’re kind of flattish. So we feel very good about our deposit growth and are simply trying to manage our costs there. We think the challenge on the balance sheet side is asset growth not deposit growth. I would point out that we are very pleased about our progress in net new transactions. That’s kind of a good measure of sales activity. That net new transaction number is up about 38% first to first so that’s very strong. When you are analyzing these numbers I would remind you that during the quarter we did sell our Nevada branches that we inherited from Colonial and that did reduce deposit about $850 million. In terms of the Colonial integration, I would characterize it overall as going great. We’re beginning to adjust CD pricing down a little more aggressively than we did in the beginning. Net new activity in that group of branches is very strong. For example, most recent quarter the net news was 4.72 positive per branch per month. Typically at this point in the cycle of a merger you’d still see a decline in numbers of net numbers of accounts. We’re seeing a nice positive increase. So it’s settled down, leadership is doing well, the employees are very comfortable with our culture. The markets like us a lot. It’s turning out to be a really good merger. We will have a second quarter conversion. Everything is on track. Daryl will talk about our conversion charges which are less than we thought so it’s overall looking really good. Now, before I turn it to Daryl just a couple of points on our key strategic objectives. As you recall, we have four [first] to mitigate credit issues. We are focusing an intense amount of effort on doing that, that is obviously job number one. We are focusing on the portfolio, we are focusing on improving systems. We think it is very important when you go through a tough period like this to learn what you can learn. We’ve learned some things that we can do to improve as we go forward so we’re putting a lot of effort on that. But, it’s very important to turn your attention to revenue growth. A lot of people focus on the problems so much they forget revenue growth. We do not do that, we’re tightly focused on revenue growth particularly our C&I strategy where we are adding significant numbers of corporate bankers and we’re seeing that strategy play very effectively for us. We continue to pick up really good long term house accounts from some of our major competitors, kind of a flight to quality issue continues. Not as much as it did early on with like Wachovia but it certainly still continues. Our client service quality continues to improve, it has never been better. For example, in the last 90 days or so we got our outside statistical data from [Merritt] Corporation. Our service quality is better, materially better than our major competitors. JD Power rated us best in mortgage origination. Greenwich & Associates which is the best national in terms of rating banks with regard to middle market and small business and they told us this is the first time this has ever happened where we got 20 out of 20 national awards. So, our service quality is great. I know you know this, but just as a reminder, the real key in terms of looking at the future is to think about how well your value proposition works in the market place. Value is a function of quality relative to price. Our quality has gone up substantially therefore our value proposition has gone up substantially and I think that will play very well for us in the future. We focus a lot of attention on controlling costs. Excluding items in purchase accounting our expenses were down 1%. Daryl will give you some color on that but I think that’s very important because we’re controlling what matters and we’re investing for the future on what matters. We’re really focused on that area. Let me turn it now to Daryl for some more details and then we’ll have some time for questions.
Daryl N. Bible : I will be discussing the following topics: balance sheet activity; margin; expenses; efficiency; capital; and finally, taxes. Let me first discus margin and balance sheet activity. Net interest margin for the first quarter of 2010 was 3.88%, up 31 basis points from the first quarter 2009 and up eight basis points from the fourth quarter 2009. Recall our fourth quarter included two basis points due to approximately $9 million of income for covered loans that related to the third quarter. So linked quarter margin improved 10 basis points. Overall, earning asset yields were up two basis points and total interest bearing liabilities were down seven basis points driving a significant margin increase. During the first quarter of 2010 we performed our first cash flow assessment on 41 loan pools acquired in the Colonial transaction. The analysis determined that most, but not all of the loan pools are performing better than originally estimated resulting in loan accretion of $21.8 million of which 80% was offset by decreasing income on the FDIC indemnification asset. To clarify, because this was our first assessment we waited later in the quarter to test the cash flows so that we could obtain better information. For that reason, the $21.8 million only represents one month accretion. Going forward we will have two months impact from the prior assessment and one month from the new assessment. We also determined that a few loan pools were not performing as well as expected. This required a $19.1 million impairment that was recognized in the provision for loan and lease losses. Again, 80% of this is offset by income on the FDIC indemnification asset. The net result of the impairment assessment and the rerun of the expected cash flows resulted in less than $1 million pre-tax positive impact on the bottom line. The results of the reassessment added six basis points to the margin for the quarter. Adjusting for deteriorating asset quality including OREO, compared to last quarter net interest margin would have been approximately flat on a linked quarter basis and five basis points better on a common quarter basis. If you normalize NPAs, interest reversals and OREO to a more reasonable level, net interest margin would have been 10 basis points higher than reported. We told you last quarter that first quarter 2010 margin would be in the upper 370s and for the full year margin would be approximately 3.80%. Due to better than anticipated accretion on Colonial assets, lower deposit rates, changes in the shape of the shape of the yield curve and improved credit spreads on loans, we are revising that guidance higher. We currently believe that margins for the second quarter and for the full year will be in the mid 390s. Over the long run, we managed the bank interest rates risk to be relatively neutral. Currently, we are slightly asset sensitive and margin should benefit as short term rates increase. On a link quarter basis, yield on earning assets improved two basis points driven by improved yields on commercial loans, specialized lending and other acquired loans offset by lower rates on consumer loans and investment securities. On the right hand side of the balance sheet we saw costs on interest bearing liabilities decrease seven basis points. The primary drivers was a 12 basis point drop in managed rate deposits and 11 basis point drop in short term borrowings. Looking forward we expect the yield on acquired loans to increase and expect the rates paid on client deposits to continue to decrease somewhat. Turning to the Colonial acquisition, a couple of items to update you on regarding the balance sheet; with respect to deposits, we increased client deposit balances by $1 billion adjusted for the Nevada branches reflecting continued success in the integration of Colonial. Rates paid on deposits should now closely match the rates paid for BB&T deposits. Going forward, the next quarter or two given soft loan demand and our desire not to reinvest in securities at low interest rates, our balance sheet will be relatively flat to down slightly. Now, let’s look at non-interest expenses. Looking on a common quarter basis, non-interest expenses increased 25.4%. Excluding merger related costs, purchase acquisitions and other significant items, non-interest expenses increased $162 million or 13.6%. The increase was driven by $136 million due to maintenance costs, valuation adjustments and losses on sales of foreclosed properties, $12 million related to our Rabbit trust and $12 million increase in FDIC expenses. These increases were offset by a $14 million decrease in pension expense. With respect to the two unusual items reflected in non-interest expense that Kelly described, we settled the contingent liability recorded last year resulting in $11 million pre-tax gain which is reflected in other non-interest expense. Secondly, we adjusted estimated rent expense associated with the Colonial acquisition resulting in a $16 million pre-tax reduction of occupancy and equipment expense. The expense was somewhat elevated in the fourth quarter and lower this quarter than it will be going forward due to this change in estimate. We expect the occupancy and equipment expense to be about $155 million for the next quarter. Looking on a linked quarter basis, non-interest expenses decreased 6% annualized. Excluding merger charges and adjusting for the impact of purchase acquisitions and other significant items, non-interest expenses increased $13 million or 3.9% annualized. The increase was driven primarily by a $37 million increase in maintenance costs, valuation adjustments and sales of foreclosed properties. Offsetting the linked quarter increase in non-interest expenses was a $5 million decrease in legal fees. Looking to 2010, excluding purchase accounting and significant items, we expect non-interest expenses to grow in the 3% area. Turning to the impact on expense from Colonial, we remain confident in our estimate of cost savings in the $170 million range and expect to be at the full run rate by the third quarter 2010, earlier than previously estimated. As you know, we have a very strong history of achieving our cost savings targets and acquisitions and we expect to do so here as well. We are again reducing our estimate of merger related charges from $185 million communicated to you in the fourth quarter to $140 million. This reduction reflects our ability to repudiate contracts and branches and an FDIC assisted deal with no additional costs due to cancellation. We are working diligently to control costs and being efficient as possible throughout the integration of Colonial. The timing for one-time costs will be over the next three quarters with the bulk of the costs in the second quarter of 2010 in connection with the systems conversion. For the first quarter of 2010 we recognized approximately $44 million in pre-tax merger related charges related to Colonial. Overall, we are aggressively managing our controllable non-interest expenses and we will continue to pursue opportunities for expense management for 2010 and beyond. Efficiency for the first quarter was 52.1% on an adjusted basis compared to 51.4% for the fourth quarter. Due to heightened credit and regulatory costs as well as Colonial’s higher relative efficiency ratio partially offset by cost savings from the Colonial transaction are realized over time. The efficiency ratio will probably get a little worse before we see improvement later this year. Looking at our full-time equivalent employees, positions decreased 465 in the first quarter. The majority of the decrease was related to Colonial. We continue to expect to see a significant reduction in FTEs over the next one or two quarters as we continue to integrate Colonial. With respect to taxes, our effective tax rate for the first quarter was 19.8% at the high end of the guidance we gave during the fourth quarter earnings call. We continue to expect taxes in the general range going forward. Of course, changes to our income forecast, one-time and unusual events could change this guidance. Finally, taking a look at capital, our capital ratios remain very strong and all improved from the fourth quarter of 2009. The leverage ratio was 8.7%, Tier-1 capital was 11.7% and total capital was 15.9%. Our Tier-1 common ratio is 8.7% and continues to be among the strongest in our peer group. Additionally, our tangible common equity ratio remains strong at 6.4%. We remain one of the strongest capitalized financial institutions in the industry. In summary, even though we continue to face credit related challenges and heightened costs, our underlying performance remains strong and our credit outlook is improving. Our acquisition of Colonial has certainly exceeded our expectations. We have strengthened our earnings power potential, we have further improved our capital base and coupled with the loss share agreements we continue to produce a lower risk balance sheet. We are in a strong position to grow organically and to take advantage of future strategic opportunities. Now, let me turn it back over to Tamara to explain the Q&A process.
Tamara Gjesdal: Before we move to the Q&A segment of this conference call I’ll ask that we use the same process that we have in the past to give fair access to all participants. I have instructed our conference call provider to limit your question to one primary and one follow up. If you have further questions please reenter the queue so that others may have the opportunity to participate. Now, I’ll ask the operator to come back on the line and explain how to submit your questions.
Operator: (Operator Instructions) Your first question comes from Kevin Fitzsimmons – Sandler O’Neill & Partners, LLP.
Kevin Fitzsimmons – Sandler O’Neill & Partners, LLP: My question is related to the TDRs and maybe you can give us some sense of comfort on this. It’s a few question on this. Number one, if you can just give us a little sense on what was the main driver for the sharp difference between what you said last quarter and this quarter in terms of restating what it was at year end? Was it simply a case of it was too early to give an accurate estimate of that and as you went through you got a much better idea because it was a much bigger number? Then, on that related topic, the growth we saw from the year end number from $1 billion to $1.7 billion is that just continued realignment with the updated regulations or is it reflecting deterioration? Is it simply a big pile of loans that you have to get through and it just takes time or is it just this is something that we should view as deterioration? Then lastly, if you can just give us a sense on the redefault rate? I know it’s kind of early for the TDRs but any kind of sense on how they’re holding up?
Kelly S. King : That’s an obvious good question. Basically it’s kind of some of what you said. We got the guidance in the fourth quarter, during the fourth quarter and on in to this quarter we had continued discussions in terms of how we should apply the guidance so that took part of it. Then the other thing was just the time to go through in the case of mortgage, all the loans we did in ’09, we made I think a very conservative decision to go back in to ’09 so that just takes time. It’s really about process and a very conservative interpretation of the guidance and then applying that through the process. So it is not an indication in my judgment of any kind of material deterioration. We haven’t changed anything Kevin in terms of how we work with our clients. This is just a change in interpretation of the recent guidance and our effort to be really pristinely conservative in terms of the application of that. The actual redefault rate is very good. Do you have the number Daryl?
Daryl N. Bible : I do. In our mortgages I think people usually talk about missing two payments, our portfolio for the last couple of quarters is about 10% redefault rate and we think the industry average of what we seen is closer to 20%. Our DRL home equity is along that same percentages, maybe slightly better than that as well.
Kelly S. King : So Kevin, most of this is about where for very long term strategic reasons when we work with our clients we don’t typically go in to dramatically raise the rate. We just never have. Our interpretation in the past has been that if you go in and renegotiate and don’t lower the rate materially, maybe you have a small increase, that that is not a TDR. The current guidance says that is a TDR and that’s all that has changed. We don’t intend to go in and change how we deal with our clients. We think it’s the right thing to do. We’re not giving them super low rates, I gave you the mortgage rates, the aggregate on this portfolio is slightly over the conforming rates but it’s just not high enough to pass the test of not being a TDR.
Kevin Fitzsimmons – Sandler O’Neill & Partners, LLP: Is this an effect of realigning or getting your definition of TDRs in line, is that now fully baked in? You mentioned TDRs will probably grow in coming quarters, is that the continued realignment or is that just due to deterioration that you see out there?
Kelly S. King : I think that’s mostly just continued realignment. To be honest, now that we know exactly what the rules are, we’ll probably be a little more conservative in terms of we’re not going to dramatically change our business practice but some of these probably would not have been a TDR if we had known exactly what the interpretation of the rule was just because we could have raised it a little higher rate. So that will be an offset. I think you will continue to have some newly created TDRs but all that you are seeing here Kevin is basically about catch up.
Operator: Your next question comes from Brian Foran – Goldman Sachs.
Brian Foran – Goldman Sachs: Can you elaborate on the comments around the trajectory of your residential construction NPAs relative to the industry? I would have thought seasonally you would have gotten a benefit and we’ve seen other banks have resi construction NPAs down about 10% to 15%. I guess maybe just elaborate on that comment about stronger builders staying in the NPA bucket longer.
Kelly S. King : We do have the stronger builders as you pointed out. We do tend to work with our builder clients and so as we work through that cycle it probably takes us a little longer than some do just because we remain committed to working with our clients through the cycle. We don’t carry clients, if it gets to the point they can’t make it we don’t carry them when they shouldn’t be carried. But, you know we have some really good clients that have been in busy a very, very long time. This has been a tough recession and so we’re committed to working with them all the way to the point that we’re clear they can’t make it going forward. Where you will see that really benefit us Brian by the way, is on the other side of this as those folks remember the people that worked with them in the tough times. So, that’s all you’re seeing there is us taking the time to kind of work with those clients through the cycle.
Brian Foran – Goldman Sachs: Then one follow up, FDIC deals seem to be getting more competitive. Colonial has done very well for you, I guess how should we think about potential additions to the franchise? Are FDIC deals likely or are you starting to think about open bank transactions, etc?
Kelly S. King : Definitely the competition has heated up. About everybody in the world small or large now wants to go do a deal. This is not unexpected when you have opportunities out there and people perceive it to be wonderful and all positives, they all tend to line up. For example, we priced a deal recently, what we consider to be consistent with what we said is we’ve been very clear, we’re interested in deals that are meaningful in size, strategically important, no meaningful asset quality and meaningful immediate accretion. So we bid it that way, we missed it and I’m happy with that. We’re not going to fall in to the trap of what others may which is follow the herd all the way to the point where it becomes bad deals. That’s what happens in almost every scenario. It’s probably going to happen here too. I wouldn’t rule out the possibility of us doing other deals. We’re certainly going to look at everyone that is meaningful that’s in our marketplace but we’re not going to do anything crazy. We’re going to stay committed to what we said because we’re about building shareholder value, we’re not about growing just to be growing. We don’t feel like growth just for growth sakes makes any sense to our shareholders. Now, with regard to unassisted deals, we are beginning to head in to a zone as the economy continues to improve and we’re getting more visibility with regard to asset quality. We’re beginning to enter a period where it will make sense to look at unassisted deals. But, the criteria is still the same, you’ve still got to be able to contain the asset quality. Now, you can do that with marks as you know but the more you mark it the more capital you require which means it puts more downward pressure on the EPS. So, we’ll have to see what the market allows but we’re not opposed to looking at unassisted deals at this point but we are remaining firm in terms of having a conservative view with regard to the economics of it.
Operator: Your next question comes from Kevin St. Pierre – Sanford C. Bernstein & Co., Inc.
Kevin St. Pierre – Sanford C. Bernstein & Co., Inc.: If I could just one follow up to Brian’s question, on the ADC portfolio while you did have a significant increase in non-accruals you had sort of a flattish net charge off rate. Can we read anything in to that regarding the adequacy of the marks on the non-accruals? Do you think we’ve found a bottom here in terms of the net charge off rate?
Kelly S. King : Yes, you know I really do Kevin. It’s interesting, what we had said a year ago was that we didn’t want to rush out and deep dive and let the bottom fish scavengers take this stuff at deep discounts and we thought there was an overreaction and it would come back. I don’t want to sound over confident but I’m fairly sure that’s what’s happening. We’re seeing it in our own anecdotal information. There are clearly, we’ve moved almost to a point where there’s very little availability and supply of lots. You can find plenty ample anecdotal feedback to suggest where the big builders are really almost getting panicky to find lot availability. I’ll refer you, in case you missed it yesterday, to the Wall Street Journal page A5. There’s a full page great article on land prices jump as home builders move in. It really talks about what’s going on and so we’re seeing that bleed through in terms of net charge offs because obviously we’re getting better collateral values.
Kevin St. Pierre – Sanford C. Bernstein & Co., Inc.: Then just separately on mortgage, the decline in revenues seems to be larger than what it would be implied by the decline in originations and I saw there was no real change in the net valuation on the MSR. Is there something else that we don’t see? Was there any repurchase reserve or any other thing that would drive those revenues down?
Daryl N. Bible : In the fourth quarter we had a $24 million gain in MSR, this quarter we only had about a $3 or $4 million gain. We did establish a $4 million reserve for buybacks from the GSEs. It’s not material but it’s the first time we established that reserve.
Operator: Your next question comes from Craig Siegenthaler – Credit Suisse.
Craig Siegenthaler – Credit Suisse: Just on the updated Regulation E guidance, can you provide us with the levels of revenue directly impacted? So we’re really looking for the point of sale debit and ATM overdraft fees either annually or quarterly because what I’m just trying to see is what really can we back in to that $70 to $80 million updated guidance? What’s kind of the revenue offset there from either opt in or higher checking account fees?
Kelly S. King : Okay, so what’s happening today to be honest is we’re all trying to figure out what the impact of it is going to be. Remember, it’s very fresh. We just made the market changes April 1 so we’ve got 20 days of data. So, we’re trying to figure out what that will do. Our early indication is that’s not nearly as bad as we thought it was going to be. With regard to the opt in which is effective July 1, we’re in the process of disclosing to our clients what the change is, giving them the opportunity to opt in if they prefer. It’s very important from regulatory guidance and our own sense of what is right and wrong to not go out and brow beat people and try to talk them in to opt in but we should make them aware that they can opt in or opt out, they decide. We have to see how that plays out. So it’s a little too early to know exactly what the negative effect of revenue will be but as I said, based on what I’ve seen in the early returns I’m willing to say at this point I think it will be in the low end of $75 to $80. Now, to your question of what’s the makeup on that, we are already in the process of doing a complete review of all of our products and processes and no doubt we will be making adjustments. Whether we fully recapture that $75 or $80 or if we’ll go over it is too soon to tell. But, we will definitely make changes that will recapture a meaningful portion of that. I personally thing Craig what will happen is we’ll go back to where we were 20 years ago where there will be kind of a certain number $5, $8, $9 stated charge for having a checking account every month and we’ll move away from a lot of the free. I think the market will see the wisdom of that and that’s what we’ll all kind of go back to. So, we’ll have to see but I don’t think when it’s all said and done – you’ll see a dip for us and I think for everybody in those two quarters or so in that service charge income. I suspect by the end of the year, first quarter, you’ll see restoration of that substantially if not fully by changes and it will end up not being a material impact.
Craig Siegenthaler – Credit Suisse: Kelly, just to quantify what you said, “Not as bad as initially thought,” what’s really driving that? Is that just running the scenario and seeing we can raise the checking account fees here and we’ll get this amount on the opt in? Is that really what’s driving that?
Kelly S. King : Yes. What we’re really doing right now is we’re literally collecting day by day data in terms of what our clients are doing when we approach them about opt in. So we’ll getting literally data, we don’t have enough yet to be statistically accurate, but we’re getting data in terms of how many chose to opt in and opt out. For example, if the vast majority opt in, then the July effect will be nothing. There’s an absolute effect with regard to what went in effect April 1 because we literally capped the number of items to four which is a big change and then we said if they just overdraw their account less than $5 we won’t charge them. So you can’t really do anything about that today. This opt in opt out thing is a bigger item and we’ll just have to see but my optimism is based on some very, very current data from what our existing clients are saying. For example, this is not statistically accurate yet but just up through yesterday our existing clients are opting in to the tune of about 75%.
Operator: Your next question comes from Robert Patten – Morgan, Keegan & Company, Inc.
Robert Patten – Morgan, Keegan & Company, Inc.: A real quick question, I want to talk about foreclosed property expense number. Obviously at $178 million it’s triple what it was a year ago. I am hearing you on where we are going with the TDRs and so forth but can you just talk about maybe the three major components of the contribution to that line, where you see this peaking, how we should think forward about this, the continual marks that are going to flow through if we drag this out? Then, the last part of the question is do you see BB&T because of the nature of how they service their customer lagging the industry in sort of the foreclosure expenses going away?
Kelly S. King : If you think in terms of the categories the costs of actually owning the projects, the taxes, cutting the grass, etc., that kind of peaked up here built up as we were bringing in new properties that needed a lot of upfront work. What happens with a lot of these is you pick them up, nobody has cut the grass in six months, you’ve got some curb and guttering that wasn’t finished, you just do all that kind of stuff. So a lot of that upfront stuff is fairly expensive. Most of that has kind of been done in terms of any major impact. So what you will see is the ongoing cost of carrying these things will probably be coming down. You saw a ramp up in the write downs because frankly we chose to be more aggressive in terms of writing these properties down simply to accelerate moving them out in to the market. We sensed that we are converging on a time when the markets’ appetite is improving significantly as I referred to and therefore it makes sense for us to meet that increased demand with an aggressive positioning of our properties so we’ve taken some additional hits so we can go ahead and offer it at a lower price and move it on out. I think as you look forward you’ll think in terms of the cost of carry of those being kind of on a declining basis as we go forward and because of increased demand I think the acceleration will pick up because there’s just simply more demand for good product and much of what we have in our portfolio today is really good product.
Robert Patten – Morgan, Keegan & Company, Inc.: The last part of it, do you see BB&T sort of lagging coming out of this because of how you do things or do you really capture the cost and it should start to decline from here?
Kelly S. King : We might lag a little bit Bob, a quarter or two. We think it’s more important to do the right thing with our clients than exactly who comes out first. We’re in this for the long haul so we could easily lag a quarter or two. I don’t consider that to be meaningful. It’s more important that the direction which is positive and we do the right thing for our clients.
Tamara Gjesdal: Unfortunately we are out of time for questions today. But, I will turn over the call back to Mr. King for closing remarks. We thank you for your participation today.
Kelly S. King : Let me just close by saying we really feel like this is overall a very good solid quarter. Credit quality is clearly improving. The market is positioned to grow, we’re quite confident of that based on our talks with a lot of clients. There’s a question about all that is coming out of Washington but we think that will subside so as we head on through spring and summer we think the market is positioned to grow. Our value proposition we believe is the best in the market based on very good outside statistical data. Our earnings power is strong, our capital is very strong. We think by the third or fourth quarter as we’ve said, we remain clear that you’ll kind of a peaking of non-performers, you’ll begin to see a peaking and heading to the peak of a reduction in allowance build, you’ll begin to see we think a reduction in charge offs. All of that sets up improved earnings as we head in to the third and fourth quarter and in to ’11. We didn’t get a question on the dividend so I’ll just make a comment about that. We are already contemplating the question of a dividend increase. We’ve said before we’ll consider that when we have clarity with regard to the economy, clarity with regard to our own assets and our cash flows. I’m feeling relatively optimistic about that. We’re not going to rush and try and be one of the first. Remember, we didn’t take ours way down to $0.01 like everyone else did. Some of the ones that are talking about raising it took it down to $0.01. I’d be talking real fast too if I took it to $0.01. We took ours to $0.15, you still got a 2% yield. But, nonetheless we think fourth quarterish, first quarterish is a time we can begin to think in terms of a small dividend increase. So all-in-all, we’re not cocky, we’re not calling it over. We think it’s a time to be calm and patient, stick to your niche but, feeling certainly more optimistic and certainly absolutely feel that our best days are ahead. Thanks for your support and hope you have a great day.
Operator: This does conclude today’s conference call. Thank you for your participation.